Operator: Good morning and welcome to the Pitney Bowes Fourth Quarter Earnings Conference Call. Your lines have been placed in a listen-only mode during the conference call until the question-and-answer segment. Today’s call is also being recorded. If you have any objections, please disconnect your lines at this time. I would now like to introduce participants on today’s conference call, Mr. Marc Lautenbach, President and Chief Executive Officer; Mr. Stan Sutula, Executive Vice President, Chief Financial Officer; and Mr. Adam David, Vice President of Investor Relations. Mr. David will now begin the call with the Safe Harbor overview.
Adam David: Good morning. Included in this presentation are forward-looking statements about our expected future business and financial performance. Forward-looking statements involve risks and uncertainties that could cause actual results to be materially different from our projections. More information about these risks and uncertainties can be found in our earnings press release, our 2017 Form 10-K annual report and other reports filed with the SEC that are located on our website at www.pb.com by clicking on Investor Relations. Please keep in mind that we do not undertake any obligation to update any forward-looking statements as a result of new information or developments. Also for non-GAAP measures used in the press release or discussed in this presentation, you can find reconciliations to the appropriate GAAP measures in the tables attached to our press release and also on our Investor Relations website. Additionally, we have provided slides that summarize many of the points we will discuss during the call. These slides can also be found on our Investor Relations website. Now, our President and Chief Executive Officer, Marc Lautenbach will start with a few opening remarks. Marc?
Marc Lautenbach: Good morning and thank you for joining us. I will take you through my perspectives on 2018 and our going forward capital allocation and then Stan will take you through the quarter and our 2019 guidance. I am pleased with what the team accomplished this year. We grew revenue for the second consecutive year, improved SG&A as a percent of revenue by nearly 600 basis points, reduced debt and increased EBITDA. We put good numbers on the board while overcoming unexpected increases in transportation and labor costs and a much stronger dollar that negatively affected our cross-border business. The fourth quarter and full year 2018 were important moments in the transformation of our company. In the fourth quarter, we grew constant currency revenue 4% and also grew EBIT 14% over prior year. The revenue performance was the highest pro forma quarterly growth in 10 years and 2018 was our second consecutive year of growth making the last 2 years the best revenue growth performance in a decade. We clearly have more work to do, but the revenue growth has a clear indication that we have something the market wants. E-commerce shipping is a market that is still early in its maturity, but there is already strong growth and Pitney Bowes is uniquely positioned to win in important niches in this market. I am particularly pleased with the improvement in our software business. The software team had a very good fourth quarter and posted their second consecutive year of growth. While it has taken longer than I would have hoped, our efforts to build new channels in this business are gaining traction. Let me now take you through the progress we made against our strategic pillars in 2018. First, taking the complexity out of mailing and shipping, in 2018, shipping revenues comprised 32% of our total revenue and in the fourth quarter, our Commerce Services revenue surpassed revenue in SMB. On a pro forma basis, in 2018, total shipping volumes in Commerce Services grew 14% over prior year. This brings total label and parcel volumes to nearly $550 million for the year. Of this, the parcels going through our network grew 15% to $140 million. In addition, our API enabled shipping solutions more than doubled over prior year and is now over $100 million business. In Presort, we processed over 16.5 billion pieces of mail in 2018, which was an increase of 5% over last year and significantly above the market growth rate. In the fourth quarter, we continued to build out distribution network for Commerce Services and for the year, we added 4 new distribution centers and consolidated 2 others. Much of this investment was done in the second half of the year. In addition, our facility in Indiana was built out with state of the art technology. It’s amazing to walk through the site and to really understand the potential for automation in the rest of our centers. Again, we will follow the play book we have successfully utilized to build our Presort business over the past [ph] decade as we build global e-commerce. At the same time we continued to innovate and bring to market new offers and new capabilities including three day guaranteed delivery and enhanced U.S. inbound capabilities from China. In SMB we have now placed over 70,000 units of our SendPro C-Series since launching this product and we have nearly 300,000 IoT devices in the marketplace. Over the last two quarters we have deployed several new applications to our clients including SendPro Care, shipping alerts and reports and same day delivery which allowed us to drive more value to our clients, largely oriented towards shipping. The SendPro C-Series has created a whole new set of possibilities for our clients and for PB and we will extend that product line in 2019 introducing more models in more countries. By the end of 2019 we will have refreshed 75% of our product line in SMB over the last few years. In terms of operational excellence we continued to make solid gains on our execution. To remind everyone we are working with an outside advisor to benchmark ourselves against companies inside and outside of our industry. We made commitments on spend takeout and overachieved on those commitments in 2018. For the full year, we have reduced gross spend by over $150 million against our target of $120 million. Total SG&A as a percent of revenue decreased nearly 600 basis points. Reducing spend while growing the top line in transforming the business was not an easy task, but we have done it. In addition our physical inventory position, our backlog and our client metrics all improved in 2018 and our inventory position was at historical lows. To put our operational excellence initiatives in context, over the last 6 years we have decreased our SG&A expense by nearly $400 million, reduced our inventory by nearly 80% and we continued to improve our balance sheet reducing debt related obligations by over $1 billion, but as Stan taught me you are never done as it relates to operational excellence. Finally, driving economies of scale and experience continues to be central to our strategy. We continued to build scale on shipping, leverage common technologies and our knowledge working with the posts and we also share infrastructure across the businesses when it makes sense. Our PB Commerce Cloud is a common delivery vehicle across all our businesses that continues to create significant synergies. Let me now turn to capital allocation, 6 years ago, Pitney Bowes was in markets that were declining and consequently our revenue was declining. Today, roughly half of our revenue is coming from markets that are growing. Importantly we are winning in those markets and growing revenue. Consequently there are different opportunities available to create value for our shareholders and continued to grow, therefore it is appropriate for our capital allocation to evolve. To that end yesterday our Board of Directors revised the first quarter dividend to a nickel coupled with an additional $100 million authorization to repurchase our shares. Assuming a full year run rate of the quarterly dividend the capital we are returning directly to shareholders remains unchanged in 2019 albeit in a different mix. We believe that Pitney Bowes was undervalued and that share repurchase was an attractive investment at this time. Our new capital allocation policy provides sufficient flexibility for Pitney Bowes to take advantage of the different opportunities to grow and at the same time still return competitive levels of capital to our shareholders. As we contemplate our going forward capital allocation strategy we will continue to focus on three criteria; First, to provide sufficient flexibility to continue to invest in our business and fund our strategies. Second, continued to de-lever the balance sheet. And third, deliver competitive return of capital to our shareholders. I am confident our capital allocation will unlock value for our shareholders. In summary, we continued to make progress against our long-term objectives. We have accomplished a lot, but there is still much more to do. Now I will turn the call over to Stan.
Stan Sutula: Thank you, Marc and good morning. Let me start by providing an overview of the full year results followed by the details of our fourth quarter. I will then take you through our 2019 guidance. Additionally, unless otherwise noted, my statements going forward will be on a constant currency basis when talking about revenue comparisons and on an adjusted basis when talking about earnings related items including cash flow. Reconciliations of all non-GAAP to GAAP measures can be found in the schedules posted with our earnings press release and on our Investor Relations website. For our full year results, revenue, adjusted EPS and free cash flow performed within the respective annual guidance ranges, revenue of $3.5 billion, which represents growth of 12% over prior year. On a pro forma basis, revenue grew 1% over prior year. This represents the second consecutive year of revenue growth. Looking at the composition of our revenue, Commerce Services represented roughly 44% to overall revenue, while SMB was 47% and software was 10%. Adjusted EPS was $1.16 and GAAP EPS was $1.19. Free cash flow was $318 million and GAAP cash from operations was $392 million. Looking at our capital allocation and uses of cash for the year, for the year, we use free cash flow to pay $140 million in dividend to our common shareholders. We paid $53 million restructuring payments. Our capital expenditures totaled $191 million. Through the year, we made investments in automation, new and existing facilities, our technology, platforms and our products. At year end, we had $867 million in cash on our balance sheet. Through the year, we repatriated over $550 million in cash from overseas. The majority of which went to reduce debt. We ended the year with long-term and short-term debt totaling $3.3 billion, which is a reduction of $565 million from prior year end and lower than our first quarter 2017 level. Let me now take you through the details of the quarter. In the fourth quarter, we delivered $947 million in revenue, adjusted EPS of $0.38 and free cash flow of $153 million. Revenue grew 4% over prior year, which is the best pro forma quarterly revenue performance in a decade. We continued to experience a shift in our portfolio toward growth markets, which is evidenced in the overall growth this quarter. As expected, our fourth quarter has become the largest contributor to the year given the growth of our shipping capabilities and the influence of the holiday season on Commerce Services. For the quarter, adjusted EPS was $0.38, which was a $0.07 increase over prior year. GAAP EPS was $0.24 and included a $0.12 charge for pension settlements, $0.08 for discontinued operations, $0.03 in restructuring charges, and transaction cost of $0.01 and a net benefit of $0.11 related to further interpretation of the 2017 tax legislation. Free cash flow was $153 million in the quarter, which was an increase of $19 million over prior year. On a GAAP basis, we generated $103 million in cash from operations. During the quarter, we used free cash flow to pay $35 million in dividends to shareholders and $14 million for restructuring payments. CapEx in the quarter was $51 million. Turning to the P&L, I will start with revenue performance in the fourth quarter by line item as compared to prior year. Software revenue grew 18%, Business Services grew 12%, and financing revenue grew 2%. In the quarter, we had declines in support services of 2%, supplies of 8%, rentals of 9%, and equipment sales of 10%. Gross profit was $433 million with a margin of 45.7%, which was a decline of $21 million or 3.9 points from prior year, which is largely driven by higher transportation and labor cost along with the shifting mix of our portfolio. SG&A was $273 million or 28.9% of revenue, which is an improvement of nearly 5 points from prior year. SG&A declined $34 million from prior year despite continued investments and higher cost in Commerce Services those mitigated by lower spend in our shared services and SMB. R&D expense was $31 million or 3.3% of revenue. Compared to prior year, R&D expense increased $1 million. EBIT was $131 million and EBIT margin was 13.8%, an improvement of $16 million and 1 point over prior year driven by the revenue growth and our spend reduction initiatives. Interest expense, including financing interest expense, was $37 million, which was about $7 million lower than prior year and driven by our pay-down of debt. The provision for taxes on adjusted earnings was $21 million and our tax rate was 22.9%, which was about 6 points higher than prior year due to benefits associated with the resolution of tax examinations that we are able to recognize last year. Diluted weighted shares outstanding at the end of the quarter were approximately $189 million. Let me now discuss the performance of each of our business segments in the fourth quarter. Within our Commerce Services Group, revenue was $438 million, which was growth of 12% over prior year. EBIT for the Group was $12 million, and EBIT margin was 3%. EBITDA was $36 million, and EBITDA margin was 8%. And Global E-commerce, revenue was $304 million, which was growth of 16% over prior year and a rate that is above the long-term market range. Within Global E-commerce, we have diversified the portfolio and client base through offerings like our domestic parcel, fulfillment, and shipping solutions, which enables us to perform better in different economic environments. Our domestic parcel and fulfillment services delivered strong double-digit growth as volumes continue to ramp up through our network. Throughout the year, we significantly expanded our volumes and client base in China. We are seeing good traction with these clients, which presents a great opportunity. In addition, we continue to expand our domestic client base, who have contributed to the ramp-up in volumes. This is a solid proof point that we have the products and services that clients want and we are able to meet their service requirements. Also, within Global E-commerce, shipping solutions delivered strong revenue growth more than doubling last year’s revenue as volumes for our shipping APIs and delivery services accelerated in the quarter. The Global E-commerce revenue growth was partially offset by a decline in cross-border, largely due to weakness in volumes, the strength in U.S. dollar, as well as regulations and taxes in some of our larger inbound markets. EBIT was a loss of $4 million, and EBIT margin was a negative 1%. EBITDA was $12 million, which was an improvement from where we had been in prior quarters. Let me address the EBIT performance as there are a few factors coming into play this quarter. First, we continue to invest in market opportunities and operational excellence initiatives, which is important for the long-term health of this business. Second, we saw a 25% increase in domestic parcel and fulfillment volumes from prior year, which was a significant ramp-up. We stepped up appropriately early on in the season, but volumes in the last 2 weeks to 3 weeks of the year were more than we expected in certain areas. We made a conscious choice to ensure we upheld our service levels for our clients. This regard bringing in additional labor and paying for additional transportation both at a premium. We also move volumes between facilities in order to process timely and meet service level agreements. This came with a financial impact, but also with an improved client experience that we felt was worthy investment. We’ll solve for these inefficiencies that resulted from ensuring a positive client experience. And last, we opened four new logistics facilities over the last several months with one being our Indiana Supercenter. We also consolidated two facilities. We incurred start-up and overhead costs with these new facilities, but have not yet yielded scale benefits as they are not at full capacity. Within Presort Services, revenue was $133 million, which was growth of 4% over prior year and at a rate above the long-term market range. The growth was driven by higher volumes in First Class and Standard Mail, as well as Bound and Packet Mail and Flats processed, but was partly offset by lower revenue per piece. EBIT was $17 million, and EBIT margin was 12.6%. EBITDA was $24 million, and EBITDA margin was 18%. This quarter was impacted by a pilot program we launched in the third quarter, where we expanded our marketing mail services moving from a 3-day program to 6 days, improving the consistency and predictability of our delivery dates. This drove additional labor and transportation often at a premium. We have addressed the launch challenges and we will not incur premium labor and transportation charges going forward. Aside from this pilot program, we have taken several actions to improve productivity in this business in order to address the increased transportation labor costs and those actions are getting traction. Turning to our SMB Group, revenue was $412 million, which was a decline of 6% from prior year. EBIT for the Group was $139 million, which was down less than $2 million from prior year, and EBIT margin was 33.8%, which is within the long-term market range and a nearly 2-point improvement over prior year. This improvement aligns with our long-term profit model and our SMB Group continues to generate good free cash flow. EBITDA was $160 million, and EBITDA margin was 38.8%. North America Mailing, revenue was $321 million, which was a decline of 6% from the prior year. Our streams continue to stabilize and the decline this quarter is in line with the average in the last two quarters. Equipment sales declined due to lower top line product sales as a result of the tough compare to prior year. In addition, last year included the first full quarter of our new C-Series product which came with some pent-up demand along with heavy and targeted marketing to build momentum around the new products at that time. We continued to experience good growth in placements of our C-Series product. Since launching a year ago we have placed over 70,000 units and are on track in transitioning our client base and to the new product. And we have deployed several new applications largely around shipping which allows us to drive more value to our clients. Gross margins continued to perform within 1.5 point range for the last year and a half. EBIT was $117 million and EBIT margin was 36.6%, which was about 1 point lower from the prior year, but above the long-term market range. EBITDA was $134 million and EBITDA margin was 41.8%. In international mailing revenue was $91 million which was the decline of 7% from the prior year. Equipment sales declined largely driven by weakness in the UK and France, but partly offset by growth in Japan. Recurring revenue streams also contributed to the overall decline. EBIT was $22 million and EBIT margin was 23.8% which improved 12 points over prior year due to lower expenses largely as a result of our spend initiatives and improved gross profit margins. EBITDA was $26 million and EBITDA margin was 28.1%. Additionally in January, we announced the sale of our direct operations and moved to an indirect sales model in 6 smaller markets within the international mailing portfolio in order to continue to optimize our go to market strategy. This aligns with our strategy to create a portfolio focused on growth through shipping and mailing within major markets. In software solutions revenue was $97 million which was growth of 19% over the prior year. Revenue increased from the prior year driven by higher license revenue primarily in data and location intelligence, growth in the sales revenues as well as the implementation of the new revenue recognition standard or ASC 606. Compared to the prior year our team also closed a greater number of smaller deals, in fact we grew smaller deals double digit every quarter and for the year smaller deals grew over 30% from the prior year. EBIT of $23 million and EBIT margin was 23% which was driven by the strong license revenue performance and lower expense. EBITDA was $25 million and EBITDA margin was 25.6%. Let me now update you on our 2019 annual guidance. The company expects annual revenue at constant currency to grow in the range of 1% to 4% over the prior year. This 2019 guidance has been adjusted by approximately $40 million for the revenues related to the recent sale of direct operations in our international mailing segment which will impact our overall revenue comparison by about 1 point from a year-to-year perspective. This will not be restated as it does not qualify for discontinued operations accounting treatment. Adjusted earnings per share, is expected to be in the range of $1.05 to $1.20. This guidance takes into consideration the impact of the recent sales of direct operations in our international mailing segment as well as incremental cost that we will incur related to the current tariffs with China. These items combined are adversely impacting our EPS by $0.04 to $0.05 per share. Excluding the impact of these items the midpoint of our 2019 adjusted EPS was essentially flat to 2018. Our guidance does not assume any further increase in tariffs beyond the current 10% level in China, but we would obviously have an impact on earnings should current levels go to 25%. We have sized this to be an incremental impact of approximately $0.04 to $0.06 and this would naturally affect our guidance. For free cash flow, we expect to range of $225 million to $275 million for 2019. The change from the prior year is driven by the expected ramp up of our third-party leasing initiatives which will use cash but build finance receivables which will benefit the company over the long-term. Additionally, this guidance takes into consideration the new lease accounting standard or ASC 842 which was implemented on January 1. This standard has a lot of moving parts, but we do not expect it to have a material impact on our overall 2019 full year results. We will recast prior years in the first quarter to conform to the new standard. Let me double click into each of our guidance measures. For revenue we expect commerce services to deliver double digit growth with the fourth quarter being the largest. Within Global E-commerce, continued double-digit growth will be driven by the expansion of our domestic parcel fulfillment business as well as growth in our domestic shipping solutions and the cross-sell opportunity for all of our services. In Presort, revenue is expected to continue to perform above the long-term market range driven largely by the expected ramp up in processing bound and packet mail. For software, we expect this business to continue to improve performance through a combination of large license deals, continued growth in small deals as well as SaaS and maintenance revenues and continued opportunities from our indirect channel. We expect this to result in software growing revenue in 2019 within the long-term market range. Within SMB, we expect revenue to decline driven in part by a lower lease opportunity coming due in 2019. We expect continued success in placing our SendPro C-Series product that launches in several large international markets planned throughout the year. We also continued to ramp up our value-add shipping capabilities and expect to start originating third-party leases during the year. These incremental offerings partly mitigate the revenue decline in SMB driven by lower lease opportunity, the decline of first class mail along with the recent sale of direct operations in our international mailing segment. Looking at our adjusted EPS guidance for 2019, there are some tailwinds and headwinds that need to be taken into consideration. The first being the shift in mix of our portfolio I described as I went through each segment’s revenue expectations. The portfolio mix is shifting to higher revenue growth areas, but at a lower margin compared to our mailing business and therefore while we expect 2019 revenue to grow, overall gross margin percent will contract. Last year, we announced a gross spend reduction of at least $200 million for 2018 and 2019. Our business model is changing and we must change how we operate as a company. Of that total target, we recognized over $150 million in 2018. We expect to recognize the reminder in 2019. A large portion of these gross savings will be reinvested in the business, particularly in the areas of Commerce Services, our third-party financing initiatives and the reinstatement of variable compensation. We also expect the tax rate on adjusted earnings to be in the range of 23% to 27% for 2019. At the midpoint, this is about 2 points higher than where we ended 2018. Additionally, our Board of Directors has approved an update to our capital allocation. For 2019, the total capital we are returning to shareholders remains unchanged. The dividend approved for the first quarter is $0.05. Assuming a full year run-rate, the quarterly dividend would result in a full year dividend of $0.20. The Board also authorized an incremental $100 million of share repurchase bringing our total authorization to $121 million. Our intent subject to market conditions is to utilize about half of this incremental $100 million in the first half of 2019. This is assumed in our 2019 guidance. Looking at free cash flow, our investments and originating third-party equipment leases will drive a use of cash of $50 million to $70 million as we ramp up in 2019. Given the nature of these third-party leases, we would write and originate leases during the year, but recognize the revenue over time. So there is a timing element of how this impacts our balance sheet versus our income statement. Let me also address the timing of some of these items in 2019. As the portfolio continues to shift to growth, particularly around shipping, the fourth quarter will increasingly be our largest revenue in earnings generating quarter. Our first quarter revenue and adjusted EPS will be impacted by this portfolio shift. Additionally, we are investing in our third-party leasing initiatives as we prepare to originate leases, which will impact expense ahead of the streamed revenue that will be recognized over time. We expect our spend reductions will ramp throughout the year. Lastly, while the new leasing standard does not have a material full year impact on our results, there will be a slight timing impact between the quarters we did more positively towards the second half of the year. Therefore, we expect the first quarter’s attainment to the full year will be approximately 1 point lower on revenue and 2 points lower on EPS as compared to last year’s first quarter attainment. So, let me wrap up. Our transformation progressed in 2018 as we grew revenue for the year. We expect that growth to continue in 2019 which would be the third consecutive year of growth. The mix shift in our portfolio will put some pressure on margins. We will continue to reduce our spend structure to partly mitigate this pressure while continuing to invest in our business. Free cashflow is expected to be lower than last year largely due to the ramp up of our finance receivables for third-party leasing. Before we open the line for questions, I do want to inform you that we’ll be hosting an Investor Day in March. With that, operator, please open the line for questions.
Operator: [Operator Instructions] And our first question today comes from the line of Ananda Baruah with Loop Capital. Please go ahead.
Ananda Baruah: Hey, good morning, guys. Appreciate you taking the question. I have a few, if I could. Hey, so, Marc, just the first – just kind of with regards to overall kind of demand sort of tenor on –look at the customer base that you’re seeing with, do you recall any impact from macro excluding the FX moves?
Marc Lautenbach: Yes. I mean, so far from a macroeconomic perspective, I think it’s kind of the tale of two worlds. You’ve got – our business, which is principally based in the U.S., which the U.S. economy continues to be pretty good. That being said, outside of the United States, there is obviously some pressures particularly in Europe and China slowing down. If you bifurcate Asia versus Europe, while China is slowing down, it’s still at a pretty fast clip relative to the rest of the world and our base there is so low that we continue to think that’s a great opportunity. On the other side of it, Europe is troublesome from a macro perspective. We do like the fact that our business is U.S. based as you get into 2019 and 2020.
Ananda Baruah: Okay, great. That’s really helpful. And then can you also just go a little bit more into the difference between the new leasing initiatives, I guess, you’re calling as origination and what you’ve traditionally have been doing just so we understand the details there?
Stan Sutula: Sure, Ananda, thanks. So, first, what we’ve traditionally done is a captive lessor situation, so we are leasing our meters, and that’s all done here as what we’ve been doing for several years. What’s different about the new third-party leasing initiatives as we will begin to lease to our existing client base primarily other types of equipment, so it could be other manufacturers’ equipment, but we will be staying within, I’ll call it, standard deviation of that pool. The reason why we think this is such a great opportunity, a, we have excess capacity in the Bank, that will give us, I’ll call it, seed funding to go out, but more importantly, it allows us to better serve our clients. So, we have 750,000 North America clients and this will be primary based in North America, but those clients we know many of them for decades and their credit history. So, the ability to go in and offer them leasing and other equipment in their facilities I think is a really logical approach. So, we think it’s an underserved market, while it has high cost of acquisition, we think we have those connections already, so that’s the distinction we’re going from a captive lessor to widening that out two equipment that we know with clients that we know quite well.
Ananda Baruah: Got it. That’s really helpful. Thanks, Stan. And then can you also just comment on what the impact to free cash flow this year is from that? And I guess kind of payers just like how should we think about your structural free cash flow once you get that third-party leasing business up and running?
Stan Sutula: Sure. If you think about free cash flow, we believe this will consume somewhere between $50 million and $70 million of free cash flow as we originate these new leases, we expect to do that early in the year. As you understand the leasing business, Ananda, in our previous discussions, we’re not going to see an immediate return, right, we’re going to build that up through time. We expect that will start to yield later in the year and into next year, but – so that will consume cash this year as we build those originations. So, if you kind of take where we landed last year at $318 million, and you look at this basically, the free cash flow is kind of flattish on a year-to-year basis adjusting for this origination. But we think this is a good use of cash. And the reason why we think is a good use of cash is because it builds up finance receivables for the long-term. So, does that have a material impact on the income statement in 2019? No, but as you go out 2 years and 3 years, this could be a nice contribution to Pitney Bowes in our future.
Marc Lautenbach: I would just add, I mean, as we continue to transform the company and look for natural adjacencies, where we have brand permission and economic advantage to participate. We’ve obviously spent a lot of time talking about shipping and I think you’re seeing the results of that. The other very natural adjacency is what else we can finance to clients that we know for a long time who have great credit histories, in particular mission-critical assets. So, we see these as both very natural adjacencies where we have got permission from our clients, permission from the marketplace to win.
Ananda Baruah: Again, that’s really helpful of you guys. Thanks a lot. Appreciate it.
Operator: And we do have a question from the line of Kartik Mehta with Northcoast Research. Please go ahead.
Kartik Mehta: Hey, good morning. Marc, maybe just a little bit more on capital allocation, maybe why now, I understand you are saying that the stock is where it is and obviously the share repurchase will help, but I am just wondering this stock has been here for a little while, why maybe now the Board decided that this would be the right time to cut the dividend and move to a different type of capital allocation?
Marc Lautenbach: Sure. If you kind of reflect back when we initially set the capital allocation policy was 2013. And as you understand better than most, the company was in a very different spot in 2013. Our revenue had declined for consecutive years. We were in markets that were going through secular declines. So, you needed a capital allocation policy that reflected those realities. Fast forward to today, we are in a much different place. As we have talked about, the weighted market growth of businesses that were in-house positive. We have had our second consecutive year of growth. So we feel like there is different opportunities that are available. We know there is different opportunities that are available for us in the marketplace. So, we thought this is a time where we are coming from a position of strength in terms of winning in the market, good revenue results and you are right we do believe that this stock is under-priced. So for all of those reasons we thought now is the right time to do it and this new capital allocation policy gives us the flexibility to pursue what we think are really compelling opportunities.
Kartik Mehta: And then Marc as you move to the e-commerce business, you are definitely seeing significant growth in the business, but the profitability of the business is still lacking. And I understand you have talked about investments in the business and this time around there is some higher costs whether it be labor and transportation. Is there a way for you to kind of parse the profitability of this business to maybe help us understand kind of the underlying profitability if you kind of strip out some of that stuff?
Marc Lautenbach: Yes. We will talk more about this in the Analyst Day in a couple of weeks. I would just go back to the strategic intent of our business has been and continues to be around revenue growth. I think the great mistake of platform businesses like this, particularly in the world of e-commerce as you put too much pressure to get profitability too early and you end up constraining your ability to invest and your ability to grow and take advantage of the marketplace. So we will have more to say about that as we get to Analyst Day.
Kartik Mehta: And then just one last question in the past, Pitney Bowes did offer third-party leasing I believe it was different types of assets. So, maybe as you look at going back into the leasing business what type of assets are you looking to lease outside of – is it office equipment, is it something else? Could you give us just a flavor of the type of assets you are trying to do on this third-party leasing business?
Marc Lautenbach: Sure. And let me make a couple of distinctions from the past if I might. So the first thing that stands out is quite important and that is we are focusing principally on clients that we already know small or medium businesses. So we have dissected our installed base. We have decided in a target segment that we believe that we now have great credit history. So that’s one important departure from the past. To the point of your question in terms of the kinds of assets, I like and it’s some way to the meter, the meter is for small and medium business is a mission-critical asset in some way, because it has actually has something to do with either collecting revenue or generating revenue. So extrapolating from that same dynamics, we are looking for mission-critical assets in few certain industries where we think we can – where we understand them better and then we understand the asset class better. So, it’s much different than the past. It’s with clients we know, it’s with assets that we understand better. So, the example that we give is Dennis [ph] chairs or forklifts. So, obviously, the last thing that Dennis disclaimed to not make a payment on is the Dennis chair, forklifts moves things around. So, it’s those types of assets that we’re looking at.
Kartik Mehta: Okay, thank you very much. Appreciate it, Marc.
Operator: And we do have a question from the line of Shannon Cross with Cross Research. Please go ahead.
Shannon Cross: Thank you very much for taking my questions. Stan, I’m curious, should we think about the – basically, funding your new leasing business from run-off of finance receivables in sort of the core to some extent? I think you talked about some pressure next year in SMB – or in 2019 in SMB given lower lease renewal opportunities. So, how is sort of the – what’s the balance from what you expect in terms of finance receivable net run-off from core versus what you’re funding?
Stan Sutula: Sure. Thanks, Shannon. So, there is numerous ways to fund this business. First, we have excess deposits in our Pitney Bowes bank reserve accounts probably in the neighborhood of roughly $300 million plus or minus, that will start the initial funding for it. From there because we have the advantage of the ILC, we can issue deposits, certificates of deposits and internet savings accounts. We also have the ability as this gets larger to securitize those when we need to or syndicate those. So, we see a number of meters to be able to leverage this business without necessarily tapping into regular Pitney Bowes cash flow. We also have that as a vehicle. So, we like the ability to start up. We think we have a good path here on driving funding through the bank, which we can lever and that works out to our advantage. So, we’ll grow this and have the ability to temper the originations over time to deal with market conditions.
Shannon Cross: Okay. But should we think about – I’m just trying to figure out, should we think about your overall finance receivables bucket that you have up this year, because again, I would assume that there is some run-off that’s coming out of or maybe I ask the question is, what do you expect if you think about core finance receivables, how much of your free cash flow estimate for the year, how much is included in your free cash flow estimate?
Stan Sutula: Yes. If we take a look at the free cash flow piece, Shannon, and go through that, we do expect that, that business is going to decline on a year-to-year basis. So that ends – part of that will come off of the finance receivables running off. But we look at the balance of those, I wouldn’t say that those are necessarily going to be equal, because there are number of things remember that we’re doing in the core business investing into new equipment, we’re rolling out the SendPro C-Series to international markets and bringing new capability there. So as we look at that comparison of finance receivables, we’ll see a decline here and then I think it’s going to depend on the level of originations we generate in the new third-party leasing to see how those balance. But we’ll expect finance receivables to run off in the base business.
Shannon Cross: Okay. And then can you talk a bit about capital going forward? And I’m just curious, because you’ve, I mean, you’ve done a good job of managing the debt maturities and paying off in the near term, but you’ve got several coming due starting in 2020. So, how are you kind of thinking about, I don’t know share repurchase on a longer term basis, is this something you expect given where the stock is at just sort of maintain and reup every year so or are things going to change as you look forward again in 2020 and beyond? Thank you.
Marc Lautenbach: I would think of our capital allocation as – the important feature of our capital allocation is flexibility. So, we were purposeful in terms of what we announced this year. We believe that’s appropriate for 2019. Once we have a better view of 2020 including the maturities that you talked about, but also the organic and inorganic opportunities, as well as the stock price then we can make a decision about 2020. So, I wouldn’t see it as a long-term statement, but a clear view that we think the investment thesis for this company has changed to growth. And the capital allocation policy that we’re putting in place is reflective of that reality.
Shannon Cross: And I’m just curious, Marc, given – I think you’ve done – you sold distribution in certain other countries over the years and now you’ve obviously done it in some of the smaller countries in Europe. Is there an opportunity perhaps to sort of shift just to third-party distribution market overall or model sorry, overall, in international markets or what was sort of behind that decision versus maintaining direct sales in certain countries? Thanks.
Marc Lautenbach: Yes. I mean, there’s a couple of things. So, to answer your question, we continually look at distribution. What was impacting those particular countries was, if you look at the overall mail market, it was declining quite quickly and candidly, we’re worried about critical mass over the longer period of time. If you look at the countries that we’re left in, France, Germany, UK, Japan, Australia, those are countries where we’ve got critical mass, the mail market is performing differently. That being said – but we always look at distribution. We’re looking at distribution unwind us 5 countries, but what are the things we can do in North America as well, both in terms of rebalancing our channels, but also looking at new channels candidly. There is a series of new channels in the United States that might be pretty attractive.
Shannon Cross: Alright. Would that be more online or I’m just curious – 
Marc Lautenbach: We already have – we have, I mean, so if you look at the last 5 years, we’ve rebalanced from face-to-face through online and Telesales, but there is other distribution mechanisms beyond those that we think might be interesting as well.
Shannon Cross: Okay. And then just one last question, with the third-party leasing that you’re doing, do you anticipate partnering with some of the office equipment companies or are you doing this more as a outreach to your existing customers that hey we are here, we can be a good option get you fast quickly approved because we know you if you want to go out and buy copiers or whatever that might makes sense?
Marc Lautenbach: So, we think our distinctive advantage here is we know the customers, so that will – that’s our principal axis to major on. So, again, we’ve already incurred the – if you look at mid-market finance companies, they have a couple of problems, one is, cost of client acquisition is very, very expensive. We’ve already acquired the relationships with these clients. The second is credit history and credit management is difficult. We’ve got a subset of clients that are very creditworthy. And then the third is, as Stan pointed out with deposits, we have a source of inexpensive funding that we think we can tap into. As those three things together that create competitive advantage in the market, and those three things will continue to drive where we pursue this business.
Shannon Cross: Thank you.
Operator: And we do have a question from the line of Allen Klee with Maxim Group. Please go ahead.
Allen Klee: Yes, good morning. For your North American SMB segments, I think it was down 6% year-over-year. Any thoughts of how this should trend in ‘19 if that’s kind of a good run rate or it would differ from that?
Marc Lautenbach: Yes, again, we’ll have more to say about the respective performances that you’d expect from these businesses. But we do have some tailwinds, I mean, obviously, here in a market that’s going through secular decline, that’s not going to change, that’s not going to change. That’s not going to change anytime soon. Mails going to continue to decline. That being said, if you look at the C-Series, that was announced in the mid-range of the product. We will extend that product line to other families and other countries. So, there are some things that will be different in 2019 versus 2018. That being said, we continue to see this is a market that’s going to decline securely.
Stan Sutula: Yes. I would add that, Allen, if you take a look at the stream revenue meaning non-equipment sales, that was down 4.9% in ‘18, that’s certainly an improvement from where we were ‘17 versus ‘16, so you’ve seen some stabilization. And then as we drive adoption of shipping within SMB, that has a potential to also help us on a go-forward basis. So, I think you’ll see a broadening versus just equipment sales being the only movement that drives the revenue performance over time.
Marc Lautenbach: That’s why the financial services as well as an important dimension of our small and medium business strategy.
Allen Klee: Okay. And then moving to the SMB International, you had a big improvement in margins from lower expenses. Is that something we should think of as sustainable?
Marc Lautenbach: Well, if you look at the SG&A of International versus the SG&A of North America, the SG&A International continues to be much higher. Now part of that’s because they don’t have as much critical mass, but we believe there is ongoing opportunity to continue to improve margins in our International business.
Allen Klee: Okay. And then for the sale of the SMB to – in 6 international countries, can you tell us what you’ve got for that? And then you’re saying that for ‘19 you are going to have $0.04 to $0.05 of a headwind associated with that sale and the China 10% tariff, can you give us an idea of how much of the $0.04 to $0.05 is coming from each of them?
Stan Sutula: Sure. So, if you take a look first of all, while we signed and closed this effective in January, we haven’t disclosed the details of and the terms publicly, but the proceeds will be minimal overall. If you think about second part of your question which I am sorry I just forgot.
Allen Klee: Second part of the question was headwinds?
Stan Sutula: Yes. So, if you take a look, because this doesn’t qualify for disc ops, we won’t be recasting prior year, but you have a $40 millionish revenue impact. And when you look at the bottom line, we said between the two that there is $0.04 to $0.05 of impact you can think it’s roughly half each of that impact. And as China tariffs, March 1, we will see what happens externally by March 1 we will be looking at whether or not it goes to 25%. If that were to occur that would be an incremental $10 million to $15 million that’s not included in our guidance. We do have the 10% baked in.
Allen Klee: Okay, thank you very much.
Stan Sutula: Thanks, Allen.
Operator: And our next question comes from the line of Glenn Mattson with Ladenburg Thalmann. Please go ahead.
Glenn Mattson: Good morning. In the software business, you guys mentioned a few things that helped that was a nice quarter there, but one of the things you mentioned was just how the channel continues to help benefit that group. So can you give a little more characterization on that like can you talk about the pipeline that they are generating, the conversion rate, just some more color around how that channel efforts going?
Marc Lautenbach: Sure. So I think of the indirect channel initiatives in two buckets. The first is what we are doing with the global systems integrators. And I would say the most important parts of 2018 from global systems integrator perspective was the platform deals that we signed with the three global systems integrators. I would say those three are early stages in terms of building demand, but we are excited about the promise that those hold. If you look at the other buckets, it’s around the location intelligence business, the regional systems integrators. Those channels are performing well. If you look at the pipeline, there is material pipeline coming from those channels. The conversion rate is slightly less than the direct channels so far. But as we get better at understanding the pipeline that will evolve. So when you add this up, we look at the overall list that the channel efforts providing. It’s a meaningful start in 2018, but a lot more opportunity.
Stan Sutula: I think Glenn as we take a look at that, the indirect channel makes up about a third of our overall pipeline. I think the big change has been we are seeing a significant shift to lift deals within that. So we are nearly half our lift related deals versus shifting so continue to see progress in that channel.
Marc Lautenbach: Just to clarify of shift versus lift, those are terms that mean a lot to us, it may not mean as much to everyone else. So we think of shift as we have generated demand and usually our customer base and we shift that demand to the channel. Lift is the opposite. Lift is where the channel actually generates the demand. And occasionally, we work with them to close it, but oftentimes they close it by themselves.
Glenn Mattson: In the end-market applications for location intelligence are they the same as they have been historically or is that market broadening out?
Marc Lautenbach: I would say it’s the same in terms of where it’s been, but we are actually getting more focused on particular used cases.
Glenn Mattson: Okay. And then the other – I think you guys also have been – staying with software you talked about just the smaller deals also contributed significantly, so is that an effort to suggest that the business is – the demand is more sustainable and that it’s broadening out amongst many smaller customers or was it just kind of the handful of large deals?
Marc Lautenbach: No, it’s small deals. So it’s a reflection of more customers and candidly more channels pursuing those more customers. So it’s both dynamics.
Stan Sutula: Yes, but we saw good growth here over 20% in the fourth quarter year-to-year and in fact grew significantly all year and was up nearly 30%, 35% here for the full year basis, so small deals performed well.
Glenn Mattson: Okay, great. Thanks guys.
Marc Lautenbach: Thanks, Glenn.
Operator: And we do have a question from the line of Anthony Lebiedzinksi with Sidoti. Please go ahead.
Anthony Lebiedzinksi: Yes, good morning. Thank you for taking the questions. So, first, just a quick housekeeping item for Software for the quarter, how much was with the impact of 606?
Marc Lautenbach: Yes. If we take a look at 606, I think there is an important point here which we have talked about before Anthony, when you look at 606, the accounting instruction laid out a set of terms, but we have seen changes in behavior both from selling behavior as well as buying behavior. And one of the principles we have seen along those lines is that when in the past when you did a 3-year deal that cash had to be all upfront in order for it to be recognized. That’s not the case under the new standard. So under the new standard if a client pays on 3 annual basis, then that revenue is still recognized all upfront. So we have seen a change in that behavior. And let me give you some color around Q4. So in Q4 we had a number of renewals. So they were prior 3-year deals, same clients, same content, same 3 years, their payment terms are different than they used to be. Under 605, you wouldn’t be able to recognize all 3 years of revenue recognized one, but we saw that change in behavior here and that impacted the middle of our ASC 606 of about $16 million, $17 million in the quarter. And when we look at that though, I would ask you to keep in mind, same client, same content, different payment terms has resulted in different accounting treatment. The way we look at this is we have gone out and it better serves our clients the ability to do this has opened up an opportunity and that is as the client at these type of payment terms, they are expanding content within their deals.
Anthony Lebiedzinksi: Okay, thank you for that. That’s very much helpful. And as far as your exposure to China, just wanted to get a better sense as to the revenue exposure and also for sourcing obviously you called out the tariff impact that wanted to see if there are any, if it’s at all possible to move any sourcing outside of China that’s something that’s even again possible?
Marc Lautenbach: Sure, Anthony. So first on the impact of China from revenue base, I think the part here is we see this as mostly upside for us. So we started to build this, it was late in the year, so it didn’t have a material impact to the bottom line. What we do see is create opportunity. And so while we scale that through the last part of the year, that contributed a modest amount of revenue. We see a good opportunity go forward. So we think that will grow and we have had good success there so far, but it’s not a major exposure to us in the interim. On sourcing, we work with our partners and this is primarily around the meter technology. We continue to work with them. They are sourced out of China. They have been rebalancing both inventory and manufacturing capacity. We will continue to work with them. They have made some progress here through the interim and that might give us some potential to some of those if it continues on into the future.
Stan Sutula: Suffice it to say we are hopeful that China net sales workout this issue, I don’t think it’s good for anybody.
Anthony Lebiedzinksi: Yes, absolutely. And in terms of your CapEx for 2019, have you articulated a plan for that?
Stan Sutula: We will cover that more in Analyst Day as we go through the details. I think you should consider to be a modest increase versus 2018, but underneath the covers, there will continue to be shifts and we have demonstrated that in the past. For example, in 2018, we had a significant increase in Presort Capital as we did automation in multiple facilities. And I think you will see that shift into global e-commerce and we always look at that composition within the business. But we think this is important. It’s an important use of cash, because it drives the long-term health and profitability of the business.
Anthony Lebiedzinksi: Got it, okay. And lastly as far as the 2019 guidance, you touched on the importance of the fourth quarter, given the seasonality of the business tied to the holiday season. Anything else as we look to update our models Q1 through Q4, anything else that you would like to point out as to how we should think about the quarterly distribution?
Stan Sutula: Yes. I think we gave some color around the guidance within the prepared remarks. I think there is a couple of things to keep in mind. One if you think about last year in the first quarter, we are taking a look at some of the items that happened, we had a very strong cross-border quarter last year and the first. And you have seen the performance of that business has softened a little bit in the tail end of 2018. So I think you should think about that as we take a look at that piece. You also recall that last year in the first quarter as part of ASC 606, we had the recognition as we are updating for that and that had a large software deal that won’t be repeated this year and that drove approximately 1 point of the year-over-year decline in the first quarter. I think those are two primary areas. So as you think about attainment of the year, you would expect first quarter to come down naturally as fourth quarter is going to be a bigger component. You saw that play out this year. You will see that shifts continue to happen next year.
Anthony Lebiedzinksi: Got it. Okay, thank you.
Operator: And we do have a follow-up question from the line of Ananda Baruah with Loop Capital. Please go ahead.
Ananda Baruah: Hi, thanks guys. Appreciate it. Hey, just could you stand frame for us what you have characterized and Mart as well as you saw as lower lease opportunity in 2019 just as we understand all the dynamics at least something that we are not aware of?
Stan Sutula: Sure. So let me start, Marc can provide some additional color here. So if you think about our lease portfolio and think about finance receivables as a view of that, this is not a linear portfolio. So average lease term is a little bit over 4 years, but that doesn’t mean it’s exactly equal every year. So in any given year, the leases that were coming up to maturity is not going to be the same number as prior year. So you have an opportunity when it comes up to handle that in a few different ways. One, we can do a trade up and with new equipment we think that’s a good possibility. Two, you could extend the existing lease with the clients. Now that opens up new opportunities now with our shipping capabilities to both digitally connect that client, bring shipping capabilities and if you will up-sell into that base. And then three, they could trade down or decide that they may not need a meter anymore. When we look at that lease base for 2019, it is smaller than it was in 2018. What you will see for finance receivables though as we go through and look at that, this ties a little bit into what Shannon was talking about earlier. Normally, we get some cash generated from the runoff of that portfolio. That’s going to be partially mitigated as we do originations. We start to add finance receivables from third-party leasing. So while I still think that, that runoff will contribute some cash, I don’t think it will be at the same levels as prior years.
Marc Lautenbach: I was just taking up a level as I am inclined to do. So if you think about the business. Up until now finance receivables have been one of the most profitable streams of revenue that we have. And as you all know, those streams have been declining as the mail market declines. We think we have the opportunity with these incremental lease initiatives over time to arrest those declines and to replace what have been incredibly profitable streams. I would reiterate again, but we think we have got distinct advantage in new markets that we are participating. And so it is a very overt effort to take advantage of where we have got strength into arrest that dynamic of finance receivables continuing decline over time.
Stan Sutula: Yes. I think the other part to look there is competitor in place. So we have a distinct advantage with both our offerings now and I think it is an opportunity and marketplace for us.
Ananda Baruah: Okay, great. I really appreciate that. Thanks.
Operator: [Operator Instructions] It does appear at this time, there are no further questions in queue. Please continue.
Marc Lautenbach: Terrific. So let me wrap up. It’s easy to get lost in a sea of numbers here between accounting changes and lease changes and other changes that are going on in the marketplace, but here is the takeaway from my perspective. We are exiting 2018 from a position of strength, second consecutive year of growth, fourth quarter best quarter in a decade and we think that is an affirmation of the transformation work that we are doing. And most companies don’t get to that point where they find those new opportunities. And we would distinguish ourselves from where we were in 2013 where our principle opportunities were around productivity savings. That’s not where we are. We have got great offerings in great markets that have secular growth and we are winning clients. That is the takeaway. And from that is what has driven our change in capital allocation. We think the change in capital allocation provides the right degree of flexibility to continue to fund our strategies, but also at the same time unlocks value for our investors. So, we will talk more about where we are in Investor Day, but I like where we are coming out 2018 and we are well positioned for 2019. Thank you.
Operator: And ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using the AT&T executive teleconference service. You may now disconnect.